Operator: Ladies and gentlemen, welcome to the SES 9 Months and Third Quarter 2025 Results Conference Call. [Operator Instructions] Now I will hand over the conference to Christian Kern, Head of Investor Relations. Please go ahead.
Christian Kern: Thank you, Gaya. Good morning, everyone, and thank you for joining us today. It is my pleasure to welcome you to SES Q3 2025 Results Call on behalf of our management team. Before proceeding with the management presentation, we would like to inform you that the financial information contained in this document has been prepared under International Financial Reporting Standards. As usual, this presentation may contain announcements that constitute forward-looking statements, which are no guarantees for future business performance and involve risks as well as uncertainties. Also, certain results may materially differ from those in these forward-looking statements due to several factors. We invite you to read the detailed disclaimer on Page 2 of the presentation, which is also available on our company web page. Today, I'm joined by our CEO, Adel Al-Saleh; and our CFO, Lisa Pataki, who will take you through the presentation followed by a Q&A session. Adel, without further ado, over to you.
Adel Al-Saleh: Thank you, Christian. Good morning, everyone. I'd like to start on Page #4 with The New SES. Now fully consolidated with Intelsat after transaction closed on 17th of July 2025, it has been a very extremely and very busy and extremely difficult period for us, bringing the 2 companies together, creating a heavy weight in our industry. So first of all, let me briefly recap the rationale behind this transformational deal. We brought together 2 industry leaders beyond scale through a value-accretive acquisition with more than 60% of revenues in high-growth segments and a total net present value of EUR 2.4 billion in synergies. We have started executing on these synergies from day 1 of closing. In fact, this transformational combination was not just about bringing SES and Intelsat together. It was about redefining who we are as a company. We have created a new SES, a global multi-orbit connectivity powerhouse and a true space solutions company, empowering businesses and governments worldwide with integrated purpose-built satellite network and connectivity solutions. We have brought together a powerful mix of talented people, market-leading engineering capabilities, network infrastructure, spectrum, innovation and global relationships. We're expanding beyond satellite connectivity and exploring adjacent capabilities to grow and compete more effectively in space based on our network, such as hosted payloads, space situational awareness and direct-to-device services. All of this is focused on shareholder value creation and returns. For our customers, we have created a more capable and forward-looking space solutions company, one that combines a compelling value proposition backed by strong underlying capabilities and a continued commitment to innovation focused on solving our customers' challenges. For our shareholders, we are driving value creation and shareholder returns through our focus on profitable growth in combination with disciplined capital management and allocation. Let's move to Page #5. With the combination of SES and Intelsat, we have significantly strengthened our portfolio. Our 4 verticals, how we manage the business, if you will, are now media, government, aviation and fixed and maritime. With the combination, we have created an undisputed leader in satellite-based communication solutions. Let's start with media. Media is our largest and most cash-generative segment, now operating at even greater scale, delivering nearly 11,000 channels to 2.3 billion viewers worldwide. We're securing long-term renewals well into the next decade. And despite industry headwinds, our strategy is clear: defend and optimize high-value neighborhoods by leveraging our industry-leading reach while expanding into new segments like sports and events, free-to-air and free-to-view. In our network segments, government, aviation and fixed and Maritime, capacity and resources are precious, and we're purposely allocated to the right opportunities as we scale for the future. With our expanded scale and capabilities, we're well positioned in our new growth segments, particularly government and aviation. In government, we're supporting over 60 global government organizations, including European governments, U.S. government, NATO allies and Five Eye nations. We will continue to focus on growing and expanding on both sides of the Atlantic, especially as the geopolitical environment drives increases in global government budgets by capturing sovereign demand and expanding into new space-based solutions. We're not only offering government capacity, but truly space partner, allowing governments to diversify and expand their space architecture. In aviation, where we have gained substantial scale through the acquisition, we now provide in-flight connectivity to 30 leading commercial airlines, supporting around 3,000 tails. Powered by our multi-orbit electronically steered antenna technology known as ESA, we offer global coverage, multi-orbit, low latency and flexible business models that enable airlines to meet their ever-rising bandwidth demand, especially with the rapid rollout of in-flight Wi-Fi. Our strategy here is simple: accelerate growth by scaling our multi-orbit, multi-band solutions to stay ahead of this fast-growing market. And as our MEO network grows, we will make it available at scale to our airline clients across the world, providing truly unique multi-orbit multi-band flexibility. In maritime, SES is also well positioned, serving 5 of the 6 major cruise lines and leveraging our scale up in commercial shipping. We are the leading provider of connectivity at sea, keeping passengers and cruise connected informed and competitive in the fast-moving world. We're confident in our maritime platforms, which position us well despite facing pressures from some partners moving to LEO solutions. Our strategy is to focus, defend and rationalize, supported by selective investments. Last but not least, our fixed business remains very tough and highly competitive. We're serving important customers with 8 out of the world's 10 mobile network -- sorry, with 8 of the world's top 10 mobile network operators as well as major energy companies and drive digital inclusion across the world. Our strategy here is to rationalize and focus on green zones, where we have the right to win. We pursue higher yield opportunities, streamline operations and leverage digitization to improve efficiency and performance. Let's go to Page #6. Here, we show you the combined assets supporting our new business. We're now a multi-orbit space solutions provider at scale. We operate a powerful fleet of around 120 state-of-the-art GEO and MEO satellites in a multi-orbit multiband network supported by over 150 teleports well spread across the globe and an extensive ground network with over 600,000 kilometers of fiber, covering 99% of the world's populated regions. In combination with strategic access to LEO capabilities, this unmatched scale and flexibility position us well to meet our customers' most demanding connectivity needs with unified solutions and accelerate profitable growth. Let's move to Page #8. Discussing our 9-month business highlights and financial performance. The third quarter 2025 was the first quarter of the combined company with Intelsat contributing roughly 10 weeks to the stand-alone business performance. Therefore, the following financial performance is shown on a reported basis with Intelsat fully consolidated from 17th of July 2025. In the 9 months of 2025, we showed a solid financial performance with revenue of around EUR 1.75 billion, up 19.8% year-on-year with growth in all verticals. Adjusted EBITDA for the 9 months was EUR 849 million, with 11% growth year-on-year and a margin of 48.6%. In the first 9 months of the year, we secured EUR 1.4 billion of renewals. and new customer contracts with the majority coming from our growth segments, supporting our gross backlog of EUR 7.1 billion, which has been impacted by the weaker U.S. dollar and intercompany eliminations. We have just combined 2 companies with multiple platforms. We have been working on various scope changes, intercompany eliminations and some different accounting conversions. So this has been a rather complex reporting quarter. In terms of like-for-like underlying trends, revenue was down minus 1.8% year-on-year and adjusted EBITDA declined around minus 10% year-on-year. These year-on-year trends can be mainly attributed to a few key business factors. Number one, in aviation, we're working through the backlog of ESA antenna implementations, which come with equipment revenue diluting profitability before enabling higher-margin service revenue. There are also some timing differences between onboarding new customers, new planes and decommissioning some of the airline customers. In government, we have seen timing impacts, mainly due to the U.S. budget delays at the start of the year, contract rationalization by the U.S. Department of Government Efficiency and postponement of large contracts in part due to the U.S. government shutdown. These deals remain highly accretive and underpin our confidence in the future growth. In media, we continue to see expected structural decline with SD channel switch-offs and the drag from the Brazilian customer bankruptcy. This combined business is now over EUR 1 billion in revenue and remains highly cash generative. Going forward, we see the underlying decline unchanged in the mid-single digits while having signed renewals well into the next decade. Fixed remains our most challenged business in a highly competitive environment. We face difficult market conditions and are focused on securing value-accretive deals supported by disciplined capacity allocation. And finally, just a reminder of the third-party capacity utilization after the failure of IS-33e as well as intercompany eliminations that we had to adjust. Turning to Page #9. Let's talk about our notable wins that support our growing segments. We're a trusted partner to customers worldwide in over 130 countries as evidenced by our strong customer base. In our high cash-generative media segment, we continue to see momentum driven by the strength of our managed services offerings and the global reach of our network. As media evolves, satellite broadcasting remains the most cost-efficient and reliable way to reach global audiences. SES continues to be a trusted partner to leading media companies such as Warner Bros. Discovery, having signed this year a long-term capacity agreement to deliver high-quality content to millions of TV users on 19.2 degree East, our most valued TV neighborhood in Europe. In Q3, we renewed a business with major media customer in the Americas, including a multi-transponder. We also had a long-term extension with a major U.S. program and have broadened our agreement with a long-time customer, Dish Mexico. In addition, we expanded our partnership with Telekom Srbija, adding 2 additional transponders and extending our capacity agreements through 2032. We also renewed a multiyear multimillion euro agreement with Arqiva for satellite capacity and our prime video neighborhood at 28.2 degrees East. Under this agreement, SES will enable Arqiva to deliver a wide range of television channels as well as radio services to audiences in the U.K. and the Republic of Ireland. In Africa, we continue to build momentum with long-term renewals with our customers in East Africa specifically. We also extended important direct-to-home contracts in Asia and secured 2 new blue-chip broadcasters on our key orbital location for C-band distribution across Asia Pacific. Many of our large customers are now talking to us about extending our partnership well into the next decade. More to come on this in the future as we renew these contracts and are able to talk about them. Let me now shift to our government business. We continue to see strong and growing demand for our resilient secure communication solutions from government customers around the world. Together, we built a government solution business of scale on both sides of the Atlantic, being true space partner to over 60 government organizations, including European and U.S. agencies. We're well positioned to tackle the sovereign capabilities governments now demand with multi-orbit networks, with space and defense budget increasing both in the U.S. and amongst NATO allies as we view the government vertical as one of the strongest growth levers over the next few years. In Q3, the French Navy aircraft carrier, Charles de Gaulle, utilized SES' O3b mPOWER SatCom service during the Clemenceau 25 mission. This high throughput, low-latency MEO connectivity supported all operational needs on board, enabled seamless collaboration with mission partners and ensured uninterrupted availability for mission-critical applications. Our IRIS2 program is also progressing well ahead of the 1W1 early next year. In the U.S., as mentioned, we're experiencing timing delays in some contract awards due to the continuing resolution and subsequent government shutdown. Despite this, our business is growing, and we remain well positioned for long-term growth. Notably, in Q3, the U.S. Space Force awarded 5 companies, including SES, positions on a 5-year $4 billion contract under the Protected Tactical Satellite Communications Global program, known as PTHG. SES is now competing for a prime contractor position going forward. This initiative focuses on the design and demonstration of resilient satellite architectures with the potential for future delivery orders. The goal is to provide anti-jam secure communications for tactical military operations by leveraging both commercial innovation and defense expertise. Also in Q3, SES Space & Defense joined the Defense Innovation Unit's Hybrid Space Architecture Network initiative with our secure integrated multi-orbit networking platform known as SIMON. This program is building a secure, integrated multi-orbit network that connects commercial and government systems to deliver assured, low-latency, multipath communications across a scalable and resilient multi-domain architecture. These strategic wins highlight our commitment to innovation and growth in the government sector. With regards to aviation, this segment continues to be a growth engine for the company. Over the last 3 months, we have won 200 new tails from various airlines. We're winning new airline customers around the world who are choosing SES because of our clear differentiators. These include our ESA solution, which uniquely enables access to GEO and LEO orbits, delivering broad coverage, low latency and unmatched resilience. We also offer multi-band flexibility across both Ku and Ka bands and solutions tailored for both narrow-body and wide-body aircraft. Our flexible commercial models further strengthen our value proposition. All of this is underpinned by ongoing investments in our global network, enhancing the passenger experience down to the seat level and expanding our footprint globally to meet rising demand. While competition from LEO-only providers remains very strong, the market is large and diverse enough to support multiplayers offering solutions tailored to the specific needs of airlines. In Q3, our ESA multi-orbit solution was selected by new airline customers across Latin America and Asia Pacific, spanning both narrow-body and wide-body fleets. Today, it is flying on over 300 aircraft and has received consistently positive feedback from customers and analysts. In total, 16 airlines have committed to deploy our ESA across 1,000 aircraft globally, underscoring the growing momentum behind our offering. We also continue to make great progress with our open orbit solutions, including wins with Thai Airways, Turkish Airlines and Uzbekistan Airways earlier this year. Our maritime business remains solid, fueled by strong demand from both customers such as MSC, Princess and Virgin. Our leadership in ocean ships and gate segment is powered by our end-to-end multi-orbit connectivity anchored by our managed MEO network that enhances the onboard passenger experience. In Q3, we secured renewals from multiple major cruise lines, reinforcing the critical role of our solution play in this market. Today, we serve 5 of the 6 leading cruise lines at sea. Additionally, SES completed the largest cruise ship transition of the year, helping a major customer migrate from GEO to SES Cruise mPOWERED service. With SES Cruise mPOWERED, we're redefining the onboard experience. Our real-time network optimization dynamically synchronizes space and ground systems across multiple orbits, enabling the cruise operators to deliver consistent, high-quality connectivity at all times. Further to the cruises, SES is supporting over 14,000 vessels on the Flex Maritime global network exclusively through our major solution partners, serving commercial shipping, oil and gas and fishing vessels. While our fixed segment continues to face competitive pressures from NGSO players, we remain focused on offering differentiated solutions to our clients. We're doing this by leveraging the strength of our multi-orbit GEO, MEO, LEO offerings, along with robust cell backhaul and trunking services. These capabilities are supported by our extensive ground infrastructure, which enables us to deliver reliable connectivity across these diverse geographies. We're serving 8 of the world's top 10 mobile network operators and a multiple of energy companies across the world. For example, we support Orange across Africa with services in Mali and Burkina Faso and most recently expanding into Liberia. And additionally, in Q3, we secured business with major mobile network operators in the Americas and expanded our digital inclusion services in Brazil with Telebras. This further strengthens our position in that region. As you can see, we are creating stronger, more agile, more competitive SES, one built on lead across orbits, across markets and across technologies. Let's turn to Page #10. This page highlights our synergy progress and integration efforts. I'm pleased to report that the integration is progressing well. In the first 90 days, we have successfully established our new organization from the leadership team through every level of the company. We have also implemented our new operating model, which defines how we manage the business on a day-to-day basis and ensures alignment across the combined organization. I'm proud to share that we have launched our new SES brand, a new purpose that capture the essence of who we are, space to make a difference and a new tagline, Solve, Empower, Soar. Our synergy delivery plan is strong, and we're crystallizing synergies more rapidly. What we have communicated is that we expect to deliver synergies with a total net present value of EUR 2.4 billion, representing an annual run rate of approximately EUR 370 million, with 70% of these efficiencies expected to be executed within 3 years. We're moving fast and delivering ahead of plan. We're moving fast and delivering ahead of our plan on our synergy commitments as we began identifying and capturing synergy opportunities across multiple areas. Our annual run rate of OpEx synergies of EUR 210 million are being fast tracked. We have already executed key labor and nonlabor synergies, including overlapping contracts, office footprint consolidation, third-party capacity optimization, procurement savings, IT consolidations and license optimization with longing IT systems such as ERP and CRMs are all progressing to plan. We're approaching this process with the utmost care and respect, ensuring we support our people while aligning our workforce to the needs of the new organization. On the CapEx side, we're fast tracking the annual run rate of EUR 160 million savings through smarter asset use, non-replacement of certain satellites and the rationalization of networks and ground infrastructure. These efficiencies will flow through in 2026 and 2027, reflecting our determination to deliver what we promised. We're executing with discipline and precision. And with our financial year 2025 results, we plan to share further details on our synergy progress. With this, I'd like to hand over to our CFO, Lisa, who will share with you more details of our financial performance.
Elisabeth Pataki: Thank you, Adel. Good morning, everyone. Before I begin my remarks on the financial performance of the combined company, I would like to inform you that in the Q3 results press release available on our company website, you will also find supplementary financial information with like-for-like revenue per vertical and adjusted EBITDA at the group level as if the Intelsat transaction had consolidated from the 1st of January 2024. This additional disclosure should help you better understand the underlying performance of the combined business and complements your financial modeling going forward. As usual, our Investor Relations team is available to help you with any questions that may arise after this earnings call. Now let's turn to Page 12 for our financial highlights. I will start with our financial performance for Q3 and 9 months, which is shown throughout this presentation on a reported basis with Intelsat fully consolidated from 17th of July 2025. This is equal to about 10 weeks of Intelsat performance, which we did not have in the prior comparative period. Revenue for SES was EUR 769 million in Q3 2025 and EUR 1.747 billion for the first 9 months of 2025, showing growth of 19.8% compared to the same period last year at constant foreign exchange rates. On a like-for-like basis, 9 months revenue was down 1.8% year-over-year, with strong growth in aviation and government outpacing lower revenues in fixed in which we are navigating a challenging competitive environment and media, which declined as expected due to structural headwinds and the effects of our Brazilian customer bankruptcy. On a year-to-date 9-month basis, our revenue was negatively impacted by EUR 52 million, of which EUR 17 million were attributable to the weaker U.S. dollar and the remainder to intercompany eliminations and alignment to IFRS accounting rules. Q3 2025 adjusted EBITDA was EUR 328 million and EUR 849 million for the first 9 months of 2025, showing growth of 11% year-over-year, driven by volume with margins of 42.7% for Q3 and 48.6% for 9 months. In the first 9 months, our adjusted EBITDA was negatively impacted by EUR 10 million attributable to the weaker U.S. dollar. On a like-for-like basis, 9 months adjusted EBITDA was down 10.2% year-over-year, with near-term margin headwinds driven by profitability diluting equipment sales from the electronically steered antenna, ESA installations in our aviation business in combination with some timing differences between onboarding and decommissioning airline customers. The Intelsat IS-33e anomaly, which occurred in October 2024, which required higher third-party capacity; and finally, mix and timing impacts on government revenue. In addition, as Adel mentioned, we have introduced more discipline to pass on tactical opportunities that are outside of our green zones and not margin accretive to our business. Moving now to Page 13. I would like to discuss in more detail the top line financial performance of our vertical segments. Media's 9-month revenue was EUR 686 million and accounted for close to 40% of group revenue. Total revenue remained stable year-over-year as inorganic growth effectively offset anticipated segment contraction in the media business. On a like-for-like basis, Media was down low teens year-over-year, driven by structural declines with capacity optimization in mature markets, standard definition channel switch-offs and the full Q2 and Q3 impact of a Brazilian customer bankruptcy. Media continues to operate as a highly accretive cash-generating business for SES. Year-to-date, we have signed EUR 440 million in long-term renewals spanning well into the next decade and new business reiterating customer confidence. Year-to-date, the media business gross backlog stands at EUR 3.3 billion. SES' media business serves close to 2.3 billion viewers worldwide, ensuring sustained reach and future revenue visibility, underpinning the cash-generative nature of this business. While the world's TV viewing trends are changing and are in structural decline, we expect the curve to flatten as free-to-air, free-to-view and sports and events become more prominent and remote regions continue receiving TV access most efficiently via satellite. Now moving to Page 14. Our Networks business comprises around 60% of total group revenues for the first 9 months of 2025. Networks revenue increased 36% year-over-year, driven by growth in government and aviation. The same trend is also valid on a like-for-like basis with growth in networks driven by the same 2 segments. Government in the first 9 months of 2025 has seen strong demand and growth in both the U.S. and global markets with revenues of EUR 491 million for the first 9 months of 2025, a 33% growth year-over-year. On a like-for-like basis, government is also growing double digits despite the timing impacts that Adel mentioned. Growth was driven by demand of European and global governments, completion of project milestones in the period and managed services in the U.S. We expect this vertical to drive continued growth as we see increased demand for our secure multi-orbit resilient and sovereign solutions. Amid the ongoing geopolitical shifts and rising global tensions, we are seeing governments prioritizing sovereign capabilities and robust communications infrastructure, particularly in Europe, where defense spending is increasing. SES is well positioned to meet these needs with our proven multi-orbit solutions and growing track record of trusted partnerships of serving the European and U.S. governments as well as allied governments. Our Aviation business continues to be a strong growth business for the company, now at a bigger scale, thanks to the Intelsat acquisition, supporting over 3,000 aircraft tails. The first 9 months revenue stood at EUR 223 million, showing 112% growth year-over-year with continued momentum in securing global airline customers. On a like-for-like basis, this segment has seen a double-digit growth year-over-year, thanks to increased commercial traction around our multi-orbit ESA antennas. This strong commercial momentum and these new installs are a key driver for future revenue growth and showcase our strong value proposition in a competitive market. The Fixed & Maritime business achieved EUR 339 million in the first 9 months, showing 13% growth year-over-year. On a like-for-like basis, revenue was declining year-over-year due to the competitive headwinds, primarily in our fixed data business, in combination with our rationalization and prioritization of capacity to our growth segment. We continue to hold our footing in our maritime business, where demand for MEO capacity remains high. Finally, Networks combined gross backlog stood at EUR 3.8 billion, having secured close to EUR 1 billion of new business and renewals this quarter with a strong aviation and government pipeline. Our strong growth backlog and robust pipeline support our forecast and future growth momentum, reflecting the market's demand for our strategy and multi-orbit solutions as being essential to meeting evolving connectivity needs. Now let's turn to Page 15 to share with you a more detailed view of our capital allocation priorities and our debt maturity profile as of the 30th of September 2025. Our combined like-for-like adjusted net debt to adjusted EBITDA ratio stood at 3.7x after closing the Intelsat transaction. This includes cash and cash equivalents of EUR 965 million, excluding EUR 266 million of restricted cash related to the SES-led consortium's involvement in the IRIS2 program. We remain firmly committed to deleveraging and meeting our near-term debt obligations. Our debt maturity profile is well distributed. The current debt portfolio carries a weighted average cost of 3.9% with 84% of SES debt at fixed interest rates. Furthermore, the weighted average maturity of our debt facilities stands at approximately 5 years, providing a solid foundation for financial flexibility and long-term planning. In terms of capital allocation priorities, our objective is to pay down debt to at least 3.0x adjusted net leverage. With existing liquidity and our undrawn committed facilities, SES is well positioned to meet near-term obligations, including the debt falling due in Q4 2025. We continue to make solid progress in our insurance settlement discussions related to the first mPOWER satellites. To date, we have successfully collected approximately USD 87 million. We will provide further updates as settlement negotiations progress. We continue to invest in innovation with discipline to drive sustainable growth with a focus on new space technologies and transforming our approach to capital deployment. This shift aims to reduce reliance on large-scale CapEx cycles. Capital expenditures in the first 9 months totaled EUR 335 million, primarily reflecting milestone achievements in the mPOWER satellite program. With respect to shareholder returns, SES continues to be sector leading. We paid the interim 2025 dividend of EUR 0.25 per A share and EUR 0.10 per B share on the 16th of October. Subject to shareholder approval, this is expected to be followed by a final FY '25 dividend of at least EUR 0.25 per A share and EUR 0.10 per B share to be paid to shareholders in April 2026. Once the company meets its net leverage target, at least a majority of future exceptional cash flows of the combined company will be prioritized for shareholder returns. SES remains focused on improving its financial metrics. Our priority is deleveraging while selectively investing in growth where returns are clear and accretive. Capital allocation remains disciplined. Slide 16 outlines our disciplined financial management strategy, underscoring our commitment to driving long-term value for shareholders. We are focused on the seamless integration of Intelsat, implementing best-in-class processes, policies and combining enterprise resource planning systems while maintaining operational excellence. As part of the acquisition, we are implementing SEC compliance measures to align with regulatory requirements supporting the combined entities' governance framework. We continue to exercise prudent capital deployment with strict capital discipline, aligning investments with our strategic priorities and applying strong business case rigor. Finally, cash flow remains a central focus of our value creation strategy. We are actively implementing initiatives to enhance cash generation across the business from disciplined capital allocation to optimizing working capital. Cost control and optimization remain top priorities, managing discretionary spend, leveraging automation and driving synergies. We are committed to a strong balance sheet and healthy cash flows, supported by targeted working capital initiatives and disciplined investments to drive sustainable growth. Lastly, I would like to thank all of our teams at SES for their hard work and precision through a complex integration. With this, I'd like to hand it back to Adel for his closing remarks.
Adel Al-Saleh: Thank you, Lisa. On Page 18, I'd like to set out our company's full year 2025 outlook on a reported basis with Intelsat fully consolidated from 17th of July 2025. Based on our solid first 9 months results and at an assumed average euro versus U.S. dollar exchange of $1.12 for the full year 2025, we expect the following: revenue to be in the range of EUR 2.6 billion to EUR 2.7 billion, adjusted EBITDA to be in the range of EUR 1.17 billion to EUR 1.21 billion. Capital expenditures to be in the range of EUR 600 million to EUR 700 million. This is a -- this is reduced from our previous communicated 2025 CapEx guidance of around EUR 1 billion for the combined company on a full 12-month basis, and it's comparable to around EUR 800 million to EUR 900 million on a reported basis. Also in light of FCC's recent press release with regards to the C-band process, it's worth adding that we're now with our combined asset base even better positioned to continue working collaboratively with the commission and our customers throughout the upper C-band process. The draft notice of proposed rulemaking, also known as NPRM, will see comments on a range of options, including auctioning up to 180 megahertz of the upper spectrum and is scheduled to vote at the next open commission meeting on 20th of November. The One Big Beautiful Bill requires the FCC to complete a system of competitive bidding for at least 100 megahertz in the upper C-band no later than July 2025. I would like to conclude our presentation today with Page #19, highlighting some of the key takeaways. This year, 2025 is very much about laying the foundation for the new company. It's also a period of transformation and transition of the 2 companies with quite different systems and scopes coming together. 2025 is all about getting the basics right. Next year, integration activities will continue as we tackle enterprise systems and processes, focus on optimizing our structure, driving operational efficiency and excellence and of course, delivering the synergies. Our near-term priorities are clear: integrate the new SES, execute synergies, delever, focus on innovation and multi-orbit solutions, operational excellence and disciplined capital allocation. Our key management objective remains to drive profitable growth. To achieve this goal, we're rationalizing our portfolio and allocating capacity and resources in a disciplined manner into businesses that are aligned with SES' strategy and provide us with the best returns. We are on an exciting journey building a leader in space. As we move forward together, we'll provide greater clarity and insight into the combined potential of the new SES with our full year 2025 results. With this, we're now ready to take your questions. Operator, please open up the floor.
Operator: [Operator Instructions] The first question comes from Paul Sidney from Berenberg.
Paul Sidney: I had 2 questions, please. Firstly, just following up on the Q3 EBITDA headwind remarks that you made during the presentation. Could you expand on how profitability expectations for the second half of this year have changed since the Q2 results compared to previous stand-alone expectations of SES and Intelsat and maybe try and quantify these headwinds for us, please? And then secondly, looking beyond 2025 with reference to the new '25 guidance, are the medium-term targets for the combined revenue growth and EBITDA growth for the targets, are they still relevant, i.e., is SES just resetting to a lower 2025 starting point, but when the synergies come through, we can expect those growth rates sent to -- still be very much relevant for the business?
Elisabeth Pataki: All right. Yes. Thanks, Paul, for the question. So let me first start off then with talking a little bit more about Q3 EBITDA and then also what to expect going into Q4. So if we think about what the combined company looks like, we had always expected that the Intelsat combination would have a lower EBITDA performance in the second half. And that's really attributed to some of the things that we had already known. So the first is in the aviation business, the electronically steered antennas, they're effectively at cost. We're installing a significant number of those antennas we started in Q3. So you can almost expect that we didn't have that at this time last year. They're all being installed in Q3, and then that ramp is even going to occur even further in Q4. So those are at cost. And then when you start to see those aircraft go into service, that's when you're going to see more meaningful EBITDA performance out of the aviation group, which you can expect then into 2026. But in terms of aviation and how to think about that, you are going to see the headwinds going into Q4. The second thing is on the Intelsat side, the IS-33 satellite failure did occur at this exact same time last year. So while the company did a great job retaining almost 90% of their customers, they did so through the use of third-party capacity. So you're seeing a lot of that headwind occur throughout the second half as well. And then just to kind of follow up on what Adel had mentioned with respect to our government. The U.S. government is a very good profitable customer for us. But with timing delays, we are seeing certain awards and renewals push out into 2026. We may see a little bit of pickup in Q4 with the U.S. government, but it really depends a little bit about when the government shutdown resolve itself. So those are kind of the major things to think about in terms of Q3, Q4. On the exchange rate topic, we're kind of planning with an exchange rate of $1.16 when you think about the fourth quarter. Obviously, we've had quite a bit of headwind with the weakened U.S. dollar. The other thing, I think, just kind of when we look at how we're putting these 2 companies together, we do have U.S. GAAP to IFRS conversions. That has started to filter through some of the results. I do want to make sure that you're all cautioned that the guidance that we've given and the results to date do not include the effects of purchase price accounting. So we'll be going through those -- that activity throughout the fourth quarter. We hope to have the majority of those impacts included in the results for the full year. We've got intercompany eliminations. We did report on that in the F-4 filings. They're more or less holding constant with what we had expected. But that just gives you a little bit of a flavor on Q3. On your second question related to the medium-term targets, I'll start off and then Adel can fill in. We're in the middle right now of going through our planning cycle. We're about -- gosh, we're almost 4 months into this acquisition. We've spent a lot of our initial time focused on synergies, and that's been related to a lot of headcount actions that we've had to take. We've been combining the 2 plants. We have been converting accounting standards. So we're putting those plans together right now, and we're looking forward to communicating as early as we can at the start of 2026 on the updated midterm guidance.
Adel Al-Saleh: Thank you, Lisa. Just a little bit more on beyond 2025. There's nothing today that would change our perspective on this business going forward. The portfolio is well balanced. We have growth businesses. We have some businesses that do have structural decline, but generate a lot of cash, and we have a business that is facing quite significant competition. But all of that is known to us. This is -- none of it is new, right? We all knew that. We understood it. Our portfolio was very similar in a stand-alone basis. So there is nothing on a go-forward basis that would be different from our earlier assumptions on how the profile -- growth profile of the business should be. I hope that answers Paul your questions.
Paul Sidney: Yes, obviously, it does. So we're looking at the longer we look forward, shape of how the business progresses hasn't changed, but clearly some headwinds that we brought into 2025. Is that a good summary?
Adel Al-Saleh: That's a good summar.
Elisabeth Pataki: Yes, that's a good summary.
Operator: The next question comes from Terence Tsui from Morgan Stanley.
Terence Tsui: I just wanted to explore the previous topic in a bit more detail just around the financial performance. So when I look at the guidance published today, it implies a pro forma EBITDA, i.e., if SES owned Intelsat since the start of 2025 of around EUR 1.5 billion of 2025 compared to EBITDA of EUR 1.8 billion delivered in 2024. Is the deterioration of EUR 300 million all due to these near-term headwinds that you just mentioned in your previous answer? Or is there something else going on? And then I just wanted to ask briefly around IRIS2. A quick update on that topic would be great, especially as we're nearing the 1-year anniversary. Are you happy with the process so far? And given the geopolitical tensions, do you see any scope for adjustments to the existing agreement?
Elisabeth Pataki: Yes, sure. Thanks for the question. So I'll start off with the guidance and then your second question on IRIS2, Adel has a lot more of what's happening there. So on the guidance side, on a like-for-like basis, you're right that at the upper end of that guide would be EUR 1.5 billion on a like-for-like basis for adjusted EBITDA. That is down from the prior year. If we look at what the stand-alone guidance was, the guidance that legacy Intelsat had given out into the market did indicate that there would be close to a double-digit decline in EBITDA. So we're starting from that basis. We did discuss the headwinds, so I don't want to repeat those. On the government side, it is largely timing. The one thing I would just add to the commentary that we gave in the last answer is related to the fixed data business. So that business is more challenged than what we had expected. But as we did say in our prepared remarks, we are really critiquing that business. We're prioritizing where we're going to take deals, and we're starting to incorporate a lot more rigor into the bid process that we have here at the new SES.
Adel Al-Saleh: And the same dynamics apply, right, so to the full year guidance. So there's nothing else new in there besides what we shared with you, right? So it just works itself through to the end of the year. Also intercompany eliminations and exchange rate changes and all those things are things that some of them we knew very, very well, and they're within the boundaries kind of where we thought they would be. So that's all in terms of that, Terence. And then on IRIS2, look, the program is in full swing. I actually spent a day yesterday at the Commission -- European Commission, met with the Commissioner of Defense, Space & Defense, and there were a forum that talks about European Commission's determination to build European sovereignty and capabilities. And IRIS2 is right at the core of that. because there is huge commitment behind it. We're working through all of the engineering activities that are required to get us now to one to make the final decision, how do we proceed? Are we able to meet the specifications, the timing, the budgets and all that stuff as planned, right? So that's progressing very, very well. And the commitment from Europe remains very, very strong to make sure that, that program continues going forward. So that's -- I think that's the update. Is that -- Terence, is that helpful?
Operator: The next question comes from Ben Rickett from New Street Research.
Ben Rickett: I have 2, please. Firstly, so leverage is obviously a bit higher than you'd initially expected following the transaction close. I just wanted to check, are you still committed to staying investment grade? And what sort of options could you look at if you didn't delever naturally as quickly as you had expected? And then second question, just around the C-band process. And specifically, I was interested in what tax rate you're expecting to pay on any incentive proceeds from the C-band and the extent to which you can use the tax losses?
Elisabeth Pataki: All right. Yes. So on the leverage, so we're very committed to delevering. That is our -- one of our primary pillars of our financial policy. So we're very committed to that. Again, as we're kind of turning through the process of putting together our 2026 plan, which we will share at the beginning of next year, I'll be able to give more concrete guidance on how we're thinking about the debt maturity profile and deleveraging. Right now, if all things are unchanged, we will pay back what's due in Q4 of 2025 with existing cash. So let's table more of that discussion until we get through the 2026 planning cycle. With respect to the C-band process, Adel, do you want to give an update on that?
Adel Al-Saleh: Yes. And just to add on that one, clearly, as a company and as always, we've always had other measures that we always look at, right, and make sure that we have backup to the backup. We're a space company. So we're used to having backup to the backup to the backup. Those things we don't talk -- we don't disclose them publicly, but we're very confident of where we are, right? So as Lisa said, right, there's good confidence in our liquidity and what we'll be able to do going forward. And it's a priority. Delevering is a priority for us for sure. Look, on C-band, look, good news, right? I mean, overall, we're working hard with our clients, number one, make sure that we have solutions for our clients as we progress through the clearings. And clearly, the ambition of FCC is very, very clear. Now regarding what the tax rate, I'm going to let the IR team get with you then just individually and walk through it. But you got to keep in mind, we have a lot of knows, tax knows and a lot of tax assets that we have in this company that is hugely valuable for us as a company. But let's not speculate and talk about them here publicly. We can follow up with any analysts that would like to get a better understanding of what the tax rate may look like.
Ben Rickett: Okay. And just -- sorry, just to follow up on the first question. So I mean, you're not necessarily committed to remaining investment grade.
Elisabeth Pataki: We're committed to delevering, and we're committed to -- our objective is to remain consistent with the financial policy that we have laid out. But again, we have to work through the process of going through our 2026 plan. We are -- there's a lot of initiatives that we also have on the table that we're actively working. So for example, working capital management, thinking through rationalization of our existing CapEx profile, so that we can funnel the money that we have allocated over to lower cost new space initiatives that we think are going to help propel our growth going into the future. So it's really hard to give you a concrete answer on anything with respect to how we're trying to concretely get to numbers in 2026 at this point in time, but that's just to give you a little bit of flavor of what we're doing.
Adel Al-Saleh: Yes. And Lisa, just to add to that, Ben. I mean, I know you want just a black and white answer. So the fact that we're focused on delevering, that tells you a lot. There are many other factors that we don't control of what the credit agencies do. So very hard for us to say how do we get there, right? But we are exactly on the same plan we were before. We got to get to the 3.0 and below, and that's what we're working towards, right? And we -- as Lisa explained it and I explained it, there are multiple levers that we have in the company in addition to operational rigor and operational cash generation that this company is known for.
Operator: The next question comes from Roshan Ranjit from Deutsche Bank.
Roshan Ranjit: I've got 3 questions, please, and I think broadly touching on the earlier topics. Adel, you mentioned the ESA revenues, and I appreciate that whilst they are lumpy, we have seen a slowdown in the, I guess, aviation growth rate this quarter on a like-for-like basis versus Q2. Now this is in the context of, I guess, capacity ramping up on mPOWER 7 and 8. So are you seeing new contracts coming through as that capacity is ramping up? And I guess, 9 and 10 has been launched. How should we expect the ramp-up of that capacity and I guess, contracts coming through in the coming quarters? Secondly, and I guess, more on the margin side, the third-party capacity being used because of IS-33. When can we expect that third-party capacity to be moved on to essentially on net? When will that all wash out? And just quickly on the CapEx, you saw a material reduction in the '25 outlook. Is that coming from savings? Or is that a timing effect and we should expect kind of that delta to be spread out over the next couple of years?
Adel Al-Saleh: Roshan, just the last question was about CapEx, right? Why is the CapEx reduced, right?
Roshan Ranjit: Exactly. If it's a push out or if it's the driver of the synergies.
Adel Al-Saleh: Yes, very good. Look, let me start, and then Lisa will complement as we go forward. Look, first of all, on a like-for-like basis, our aero business is growing double digit. So it has not slowed down, right? And it's significant double-digit growth. And actually, we will see that ramp in revenue driven by the equipment continue in the fourth quarter. And as Lisa explained, I mean, this is all leading to then services revenue that is going to be accelerating going forward. And this was in our press release. So in our press release, you see that the third quarter like-for-like growth in aviation is 36.3% growth year-on-year, right? So it has not slowed down. It's accelerated actually this year. Now that will slow down in the beginning of the year despite the fact we do have 1,000 tails orders to transition to the terminals, but they are spread, right? In aviation, it's a quite delicate planning process, right, to getting planes out of service and making sure we do them in the maintenance windows, et cetera. But it will be spread more than what it is concentrated this year because the ramp-up really happened in third quarter. There was a little bit in the beginning of first half of the year. Fourth quarter, as Lisa said, is a major ramp-up, especially with American with them really eager to get to their Wi-Fi offerings in the beginning of next year. Now remember, your question related to 9 and 10 coming into service, today, it's very limited usage of MEO in the aero business. In the future, we expect to be a game changer when we put MEO in air. I mean there's a little bit of MEO usage in one of the Middle East, Asia Pacific airlines. We will be announcing that quite soon. They're going live very, very quickly, and they love it. It's a game changer. It's no big difference between a LEO or MEO on an airplane. And by the way, they're using standard antennas, right? So not even an optimized antenna for MEO, which our goal is to have an optimized antenna that is easy to install, that's cheaper than what we have today on airlines as our MEO capabilities ramp. Now on the 9 and 10 capacity, which benefits government benefits our maritime business, that is expected to go into use by beginning of 2026. Those 2 satellites have been launched. They're making their way to their orbits. There is some in orbit testing that needs to be done, et cetera. So beginning of 2026, that's where the capacity comes on board. And then we have 3 other satellites that we'll be launching in 2026 to get us to 3x of the capacity we have, right? And that capacity comes on to service in 2027. So that's all progressing. And look, we -- when we have all these healthy satellites up, we will have a lot of other options to consider how do we configure that constellation because we will have a lot more flexibility to be able to drive that mPOWER constellation, which continues to be oversubscribed today. Look, on that third-party capacity for IS-33e. So first of all, the Intelsat team did a great job securing customers, right? Because those customers have long-term contracts and long longevity in our business. It was important to secure them despite the fact that your cost dramatically goes up. We are working through figuring out how much of that capacity we can move over to on fleet. Our problem, of course, is it's not like we have dramatically excess capacity everywhere, right? That's our biggest challenge, right? We're quite highly utilized, including our GEO satellites. So we're working through that. And that's the thing that's going to be tough. I mean, Lisa talked about this discipline because we're going to be rationalizing what's the best return for our shareholders in using that capacity. And it means trade-ups. It's not easy as we have the -- if we had capacity, we have moved that already, right? Everything that we could have moved will move. Now it's about rationalizing what's the better return for the company, when do we do it, how do we not lose trust with our customers as we transition some of that capacity. But that's all going to happen during -- it's happening. And during 2026, as other contracts come to an end, we'll be able to rationalize it. I have no doubt we will manage that throughout 2026, beginning of 2027. And look, then the final question on reduction of 2025 CapEx. Look, this is the benefit. A big part of it is the benefit of this integrated company. Now for example, we decided we're not going to go for some of the satellite replacements. We're able to move some of the satellites to pick up some of the loads in areas where it was highly utilized. So the result of that is not just delays of CapEx, it's actually rationalizing. There were some delays, but it's not material if you look at the overall CapEx envelope. And part of it was not only saying, well, there is an overlap. Part of it was our decision to say, we're not going to do that. It doesn't have the return that we would like to do. Our teams would like to do it, but we said, look, let's rationalize the business case and came back to the conclusion that is not a good capital deployment approach for us. So that's how it kind of come together for now. Hopefully, we answered your question. Lisa, anything to add to that?
Elisabeth Pataki: No. Maybe the only thing just to add is we're continuing to look at the CapEx. We've already taken decisions to stop some things. So I think we're in a good shape with where we're at with our integration process.
Roshan Ranjit: That's great. And sorry, I should have clarified. When I said slowdown, I meant slowdown versus the growth rate in Q2. So as you said, 36% growth aviation in Q3 like-for-like. But my point was it was a slight slowdown versus the 45% in Q2 despite the ESA terminals installs.
Adel Al-Saleh: So, very good comment. I mean, look, part of it also is we mentioned it is we did lose some airlines, right? So we're winning and we're losing and the balance is still quite good in our favor, right? So that is just part of the offboarding and onboarding timing differences and all that. That's why you see those dynamics change a little bit, but still quite healthy growth, right, if you look at it.
Operator: The next question comes from Nick Dempsey from Barclays.
Nick Dempsey: I've got 3 left. So first of all, just on that -- coming back to that midterm guidance point, will you give us numerical midterm guidance for revenue and adjusted EBITDA growth in February at your full year '24 results? The first question. Second question, am I right in calculating that at the midpoint of your adjusted EBITDA guidance, you will be -- you're roughly on track to be at about 4.0x net debt EBITDA at the end of this year, including leases and including only 50% of the hybrids and perpetuals the way you're showing it today? And the third question, inside that combined constant FX growth of minus 19.5% for fixed and maritime, did you see cruise revenues showing positive year-on-year growth? You've got more capacity coming through from mPOWER there's a demand in cruise. So did cruise grow within that implying the rest was down quite a lot?
Elisabeth Pataki: Yes. So I'll take the first question on the midterm guidance. So at the start of next year, we'll certainly give quantitative guidance for 2026. And I think it's very fair to assume that we'll give ranges of the updated midterm at that point. In terms of the net leverage and how we see that towards the end of the year, again, a lot of it depends on still working through a little bit of the planning, but also from a cash flow perspective, there's things that we can do. So it's hard for me to speculate right now for you where we're going to land on net leverage by the end of this particular year. But again, we're doing everything that we can to control cash going out the door, accelerate cash payments coming in, all the working capital things that you would expect.
Adel Al-Saleh: And paying down debt, right? We're going to be paying down significant amount in fourth quarter. So it's too early, Nick, to look at it. Look, let me take the last question and then see if we can -- if we have answered it. So look, cruise continues to be quite stable for us. I mean there's some noise in the numbers in cruise because you remember, we had periodic in the revenue both in 2023 and 2024. So the compares are -- 2024 and 2025, I have to say, right? So compares are a little bit different. But on a stable basis, if you look at our ships and what we have and who we serve, that is quite stable. I mean there was a big transition for a very large customer that just came across, right, and put a bunch of stuff. We have new vessels that we're winning. When you look at the build profile of the vessels, we continue to win much more than our fair share of the new vessels. So it just proves you that customers want to have multi-orbit on the ships, right? They have LEO capable solutions. Starlink is a very, very strong competitor there. But our value proposition continues to resonate with these guys, right? And they continue to extend contracts with us. As I said, 2 major cruise lines just extended contracts with us just last quarter going forward. So it remains a very stable business. Look, the problem we have, Nick, and I've talked about this multiple times, if I can give more gigabytes to our crew guys, they will consume it. They will consume, right? So we're eagerly waiting for 2026. And when we get the additional capacity, we're looking at can we optimize the network even further to be able to get to because it's not lack of demand. It is really our optimization of where the capacity is being used. And as I said, we have a big government customer base across the world that want a lot of that capacity and have booked a lot of that MEO capacity. And it's a tricky dribble for us, right? How do you optimize it without losing customer confidence and trust because we are a trusted partner. when we provide a solution to our customers, they can count on us, right? So it's not so easy for us to just move stuff around. But yes, it remains quite stable and the growth is going to come when we give them more capacity. Is that okay, Nick? Did that answer your question?
Operator: The next question comes from Aleksander Peterc from Bernstein.
Aleksander Peterc: I have a few. The first one will be on the actual momentum when I look at your year-on-year margin evolution in EBITDA for the pro forma entity. I see a 3% decline in Q1, Q2 and then that deepens to 7% in Q3. And at guidance midpoint, your implied Q4 is down 10.5 percentage points on the margin front. So I'd just like to understand if I understand correctly that you're going to be at roughly 38% EBITDA margin in the fourth quarter. And I'd like to understand if this is the worst point of the year and then momentum will improve from here? I mean why should we assume that this negative trend should stop now? And I think it would be helpful if you could quantify those one-off in the current quarter, the things that you outlined on Slide 12, all of those negative elements, how much are they contributing to this margin erosion? And I have a couple of follow-ups as well.
Adel Al-Saleh: Lisa, do you want me to start and then you...
Elisabeth Pataki: Yes, yes. Go for it.
Adel Al-Saleh: Look, so you are right, Aleksander, you're absolutely right. I mean the headwinds that we talked about, I'm not going to repeat them, right? These are the headwinds that are contributing to that margin impact. They are not forever headwinds, right? So for example, our -- the content of the equipment, there's a large portion -- large content of the revenue is the equipment this year. By the way, not only in aviation, we also have equipment sales that a lot of our customers, big customers are buying the equipment that they need in order to turn up and light up some of the capacity that they bought for us that are already paying for it, but they need the equipment in order to do it. So that is -- it happens to us as it's a forecast for the future profitable revenue basically, right? If you have a lot of equipment, it means that you are getting new customers on board and they are going to be using. And that accelerates in the year, right? So it started ramping up in the first half of the year. It's accelerating in second quarter, third quarter. And fourth quarter will be high volume of that equipment, especially in aviation, plus some of the eliminations that we talked about, et cetera that have an impact. And IS-33e, you have the full impact of IS-33e in the fourth quarter, if you look at it year-on-year, right, when we've had to go and get the third capacity. So that in 2026 is not going to have the same profile. It will come down. That equipment sales will come down. And by the way, again, it's not that we're avoiding equipment sales. We actually like those equipment sales because we're very particular and very disciplined. We don't do equipment sales for the sake of equipment sales. We're doing equipment sales to turn on the volume on very high profitable capacity solutions that the customers are looking for. So that's the -- now I can't -- maybe, Lisa, you can comment. I can't make the math on the call on how many points it is and where do we end up with the margin overall. But you can see -- maybe, Lisa, you can add something to it or...
Elisabeth Pataki: Yes. So I think there's a bit of a mix effect happening in the fourth quarter. So if you look on a like-for-like basis, which luckily the fourth quarter is going to be, you're going to have a lot of revenue growth that's coming from 0 to low-margin activities, primarily in aviation, which we just talked about. So the ESA installations, the kits are probably -- if you want to quantify that, it's probably 30% more installs coming in the fourth quarter than what we saw in the third quarter. And then on the government side, a lot of our higher-margin business is pushing out to the right. And that's just mainly due to timing effects that we're seeing on the U.S. side, and that's being supplemented by revenue that's more on the NATO and the European side. We do have some contracts that have a bit of lumpiness as they're percent complete type contracts, and we're seeing some of those material and subcontractors coming into the fourth quarter at very, very low margins. So that's what's driving the revenue growth from Q3 into Q4 because you will see that there's a bit of growth on a pro forma basis. And then on the EBITDA, again, it is largely being driven by the mix effect on the government side and on the ESA terminals. And you can -- if you want to quantify the ESA, you can think about that EUR 6 million to EUR 10 million.
Aleksander Peterc: Okay. That's very helpful. So on the basis of what you just said, will we see, therefore, next year, a headwind from lower equipment sales because they're so high in the current year. And if my math is right, you have -- you're flat for revenue year-on-year in the fourth quarter at the midpoint of your guidance. So -- but this includes a lot of equipment sales. So as we go into 2026, you're going to see probably a headwind from that. So will we actually be able to grow next year like-for-like on ops?
Adel Al-Saleh: So Alex, you're asking us to build a forecast for next year already, right? Look, we will give full guidance for 2026 and even beyond when we sit down with all of you guys in February, right? But I'd say one thing, right? So clearly, the equipment profile will change, right, both for aviation, but also for the government. It's not means 0 equipment. It will be other contracts we're signing that we're competing for that will drive early revenue driven by equipment and some of them have better margin than others, followed by a high-margin revenue business when we get to the solution and turn on the capacity and deliver the services. But as I said earlier, nothing has changed to date that would change our view of the company going forward. Nothing has changed, right? So therefore, we are prioritizing growth, right? But with a disciplined approach into revenue growth, we're prioritizing profitable growth going forward. And we continue to see the business that way, right? We haven't changed our view on this business despite some of these adjustments that we have to make in 2025 based on what you heard. That's as much as I can say right now without giving you more forward-looking forecast, which will come in February 2026. I apologize, Alex, I can't be more precise, but hopefully, you understand where we are.
Aleksander Peterc: Can I just have a quick follow-up on the band. Are you striving towards a higher than 100 megahertz transaction there because that will be obviously your strong interest given that there's no CDRs on anything above 100 megahertz. Can we go to 180?
Adel Al-Saleh: Excellent. And now I remember conversations we had with you guys the year before where we talked about 100 and how the CDR plays out. And you -- Alex, you're absolutely right, the CDRs only applies to the first 100 megahertz. Look, it's very clear the FCC wants to do more, right? It's clear, right? I mean you've seen the releases, press releases and we're in the middle of it. I do expect -- all the cards tell you that it will be more than 100 megahertz, but it's very hard to predict. By the way, you don't have to wait that long anymore because it's -- the ruling should come out on the 20th of November, right? So it's about 10 days from now, right, a little bit more 2 weeks from now, right, and so on. So that is really good news for us, right? And for our investors at the end of the day, right? So that's where it is, and we'll see where -- and like I said, given the scale that this company has and the usage we have of the C-band, we are really well positioned, right? And not only well positioned with the FCC and the commission and help them accomplish what they're trying to do, but also with our customers because we have a much bigger scaled network that we can think of solutions that keep the customers and not lose them as we clear that C-band going forward. And that's really good news, Alex, for us. So I will leave it at that, right? And then we'll see the news coming in and we'll all then reflect when we talk to you guys in February.
Christian Kern: Operator, we've got time for one final question, which is in the line there.
Operator: Yes. The final question comes from Stéphane Beyazian from ODDO BHF.
Stéphane Beyazian: I've got 3 follow-ups, if that's possible. Just on the spectrum clearance on which you spent some time recently. Can you tell us a little more on the difficulties, how long that could take? And what could be the associated cost? I understand it's pretty early, but that'd be interesting to have your views on that. Second follow-up on IRIS2. I was just wondering if you think the final plans will be very much in line with the initial plan. I'm talking about the total cost of the project and the capacity, which looks relatively small in total, in my opinion, when it was announced. And finally, just a follow-up on the airline contracts. I was just wondering if there is anything you can share on the economics of the contract from an airline point of view, how your pricing is comparing, for instance, to Starlink? Is the pricing flat per aircraft or quite volume-based? Anything could be interesting there on the economics.
Adel Al-Saleh: Very good. Thank you, Stéphane. Look, I don't want to get ahead of myself here on the clearing, right, and how long it will take. You can use the proxy of the prior clearance that we had, right, and so on. But it's not years and years, right? I mean -- and we've recommended a certain approach to FCC that I'm not able to share until FCC decides to publish it themselves where it could be accelerated, right, and moved quite fast. But this is FCC's decision, right? I mean they, at the end, will set the pace on where we do. We know the technical requirements and what it takes to do it. And the more you do, the longer it takes, right, which is not such a bad news. In terms of cost, to be very clear, we expect full cost reimbursement, right? There is no cost that we will have to cover without FCC covering the cost. And of course, we also expect that the rules will be very similar to the prior clearance, i.e., how the financials were set up for the clearance. Look, on the IRIS2, as I said, Stéphane, we're right in the middle of it, right? And we have a budget that we shared with the market in terms of what our investment is going to be. We have not changed it, and that is our ceiling. We're not thinking of going beyond that. The question we're all trying to solve for is, do we still get the return that we require in order to make this an accretive project. And that's what we're working, and it's too early to speculate whether or not. It does not meet our requirements, financial requirements, we will make the right decision for our company and for our shareholders. And our customer knows that, right? They know the importance. And this is a private-public partnership. So everybody understands in clarity what is expected. We know what the customer wants. They know what we need to do in order to be able to deliver. So we need to have a little bit of patience as we get through it. But you got to keep in mind, I mean, we announced -- Stéphane, I didn't major on it this time because I want to major on this discussion in February. We announced our ambitions for the next-generation meeting. I announced it in the Paris show, and we call it meoSphere, which is the next generation of our MEO capabilities that we desperately need as we go forward. IRIS is absolutely part of that. It's the foundation of that meoSphere. It's not another project, right? It's the beginning of the meoSphere, if you will, the core elements of meoSphere as we scale it and we grow it. So for us, we have a very clear plan as a company, how we're going to do meoSphere going forward. And the objective is to make IRIS a component of that, a foundation of it, but it has to meet certain criteria for us to make it work. So that's what we're working on. And by the way, it's important and significant in the future. It's not a rounding error. I'm not talking about the capital investment required. I'm talking about the revenue upside. We want to bring a massive MEO network into airlines. It changes the game of the airlines. The governments desperately want us to keep scaling that MEO network. We want to bring much more capacity into the government business. So it is a significant opportunity for us as we go forward. But we must do it right, in order to have the right capital returns. And look, on the airlines, and we can take it offline. Look, one of the biggest differentiators we have as a business is our flexible business models. We can do it per plane. We can do it per seat. We can do it for usage and the customers love that. That is a differentiator. And we have a very strict guidance on how we do the mechanics and how does the business case work, et cetera. But it's very flexible for the customer adoption. So customers -- some customers want to pay for investment upfront. Others want to recoup it over time, right? And et cetera. So each business model is adapted to what the customer needs are and as they adopt the Wi-Fi solution on the plane, which, as I said, makes it differentiating from our competition.
Stéphane Beyazian: Interesting. And if I can just follow -- can you hear me?
Christian Kern: Yes, we can, Stéphane.
Stéphane Beyazian: Yes. And just to follow up on that, in general, in the recent contract, the aircraft prefer pricing per seat, per usage or per aircraft in general.
Adel Al-Saleh: It varies, Stéphane. It's interestingly, it varies. Customers who have experience with Wi-Fi and have enough capital capability to do it, they want to pay a lot of things upfront. Customers who are experimenting and rolling out for the first time, they want to see it based on passenger usage. And for us, it works, right? I mean both -- all of these variations, they work for us and so on. So it really is different, and it's not one dominating versus the other.
Operator: There are no more questions at this time, sorry. So I hand the conference back to Christian Kern for any closing remarks.
Christian Kern: Thank you so much, Gaya, and really thank you to everyone joining this call. I hope you found these answers helpful and to assess the Q3, 9-month results. Any follow-up questions, please contact Investor Relations at any time. We're here to help. Thank you so much, and have a good day.
Adel Al-Saleh: Thank you, everybody.
Operator: Thanks for participating in today's call. You may now disconnect.